Operator: Thank you for joining. We are here to provide a Corporate Update and Report on Thunderbird Entertainment Group Third Quarter Fiscal 2022 Results, which ended March 31, 2022. Speaking on today's call are Ms. Jennifer Twiner McCarron, Thunderbird's CEO; and Ms. Barb Harwood, Thunderbird's CFO. Ms. Twiner McCarron will provide a strategic review for strategic overview of Thunderbird Entertainment Group, and Ms. Harwood will review the Company's Q3 2022 financials. Following the corporate update and review -- corporate financial review, the call will open for a question and answer session.  At this time lines have been placed on mute to prevent any background noise. I'd like to remind everyone that certain statements made on today's call will be forward-looking and constitute forward-looking statements or forward-looking information under applicable securities laws. Forward-looking statements and information discussed on this conference call include, but are not limited to, statements with respect to the Company's objectives, goals or future plans and the business and operations of the Company. Forward-looking statements are necessarily based on a number of estimates and assumptions that, welcome to the reasonable are subject to known and unknown risks, uncertainties and other factors, which may cause actual results and future events to differ materially from those expressed or implied by such forward-looking statements. Such factors include, but are not limited to, general business, economic and social uncertainties, litigation, legislative and environmental and other judicial cal regulatory, political and competitive developments. Those additional risks set out in the Company's filing statements and other public documents filed on SEDAR at ww.sedar.com and other matters discussed in the quarterly news release. Although the Company believes that the assumptions and factors used in preparing these forward-looking statements are reasonable, undue reliance should not be placed on these statements, which only apply as of the date of this presentation and no assurance can be given that such events will occur in the disclosed time frames or at all. Except where required by law, and the Company disclaims any intentions or obligations to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For your convenience, the press release and MD&A and unaudited financial statements for the Q3 2022 of Thunderbird Entertainment Group, which ended the 31st March 2022 are filed on SEDAR and available online under the Investor section of our website. We do not expect to update forward-looking statements continually as conditions change. The conference call is being webcasted live, and the archive will be available on the Company's website at www.thunderbird.tv following today's call. Please note that the Thunderbird reports in Canadian dollars unless stated otherwise. Ms. Twiner McCarron will now provide the corporate update.
Jennifer Twiner McCarron: Thank you so much. My name is Jennifer Twiner McCarron, and I'm the CEO of Thunderbird Entertainment Group. On behalf of the Company, I'd like to welcome you to today's call to discuss our Q3 2022 results, which ended March 31, 2022. Thunderbird's CFO, Barb Harwood, is with me today, and we appreciate you joining us and following Thunderbird's story. I will provide the corporate individual updates and Barb will share the financials. Apologies for my voice, I have a good old fashioned cold, which after 2 years of wearing mask with the heck of those. Anyway, I apologize if my voice is cracking. Once Barb and I are finished, we will be happy to answer any questions you may have. I'd like to begin our call by addressing some of the conversations taking place around recession years specific to the entertainment industry. We are seeing more speculation in the industry following Netflix announcement about its subscriber growth and streaming outlets like CNN+ shutting down. While this was somewhat offset with Disney and Warner Bros, Discovery reporting revenue gains and news around Paramount+ and SHOWTIMES combined subscribers topping 62 million. There appears to be a lingering undercurrent of uncertainty. We have entered a new phase of the streaming revolution, and for our company, Thunderbird, this is actually really good news. Major streamers are adjusting their offerings to attract and retain subscribers by creating tiered packages and opening the doors for more advertising support to stay competitive and to win in a fierce market. What investors in Thunderbird should take great confidence in is that while the streaming wars are entering a new era Thunderbird is the beneficiary of these events. Our high-quality family-oriented programming and co-viewing that we provide with factual and animated content will be in greater demand as the large players cut back internally and turned to Thunderbird for A+ high-quality, diverse and inclusive content. This is the case of quality over quantity. The fact remains that major streamers with deep pockets continue to execute on their growth strategy, all of which include premium, diverse and inclusive content. Buyers may be tightening our belt, so to speak, but they are not going away. All streamers need to constantly refresh their sites to close subscribers. More than ever, it's becoming, again, a quality versus quantity of discussion and quality will always win. This is what we specialize in keeping quality as our North Star. We have ongoing relationships in place with all of the major streamers, and we are renowned for premium award-winning content. There's no doubt that the landscape will keep evolving to stay competitive. And throughout this, we will continue to be well positioned to grow within it. At the end of the day, for platforms to gain and maintain customers they have to spend on premium content, and we are seeing that. Take our foothold in animation, for example. Currently, we're working on major brands such as Molly of Denali, for GBH and PDS. Pinecone & Pony for DreamWorks and Apple, CoComelon for Moonbug and Netflix, Young Love for Sony and HBO Max, Spiderman for Disney Junior, just to list a few. The pandemic elevated animation and its importance to new level. And adult animation is also seeing a huge bin. We also have a presence in this space including tags in Asia, which we're producing for out swim. When physical production was shut down, animators work from home, keeping the industry afloat. Animation represents some of the most carefully and cinematically directed terms of the year. In '21, Luca, Raya and the Last Dragon and The Mitchells and The Machines were 3 of the 10 most streamed roles out of the year. According to the U.S. streaming platform tracked by Nielsen, and in total, 7 of 10 were animated. Animation is for everyone, and the studios know it, that's why we're seeing unprecedented investment in animation production. Add to this, after relying heavily on unscripted programming during the pandemic and witnessing the genre store broadcasters and streamers continue to order and provide a steady flow of factual programming in spite of the return to normal for scripted production, with factual programming having lower production costs, and very high approval ratings. Factual series will remain a key part of all buyer strategies, as highlighted in this year's May TV upfront. This is further reinforced with National Geographic's recent announcement around the launch of National Geographic premium with Disney+, featuring original shows, documentary and more. The ability to grow in an ever-changing landscape is the result of mindful and strategic planning initiatives and infrastructure put in place under the overarching long-term goal of Thunderbird becoming the next major global studio. At Thunderbird we have a balanced approach and are playing the long game, which is why many of you have heard myself and our Thunderbird team members refer to fiscal '22 as our build year, is an ebb and flow to our business and within our industry in general, based on when production deliver. We have visibility to this and have carefully navigated the Company's course while maximizing the value of our storytelling for the massive opportunity that fiscal '22 has involved the Company leaning into our strengths and greatest growth opportunities, including diversifying our portfolio, securing compelling IP, a focus on our global distribution in Consumer Products division and partnering with top industry talent like HBO Max, Netflix, Disney, among others, to create global hit. While we can't pull back the curtain completely on everything we're working on as much as we'd like to, we can share that we are building an incredible portfolio with recognizable brands and significant brand building capabilities to drive profitable growth and long-term shareholder returns. And we are doing this methodically with zero corporate debt, so we can move nimbly and capitalize on opportunities that other content creators in the similar position simply cannot. On top of this, we are continuing to explore M&A options in Europe, including ways to partner with streamers as they look to increase subscriptions internationally. This is just the beginning, and as we look ahead, we can assure you we are excited. Our teams continue to grow. We're now over 1,400 team members across North America, and our flexible hybrid work structure continues to contribute to our ongoing growth and ability to strategically scale up as needed based on demand. We have worked from home for over two years and many people continue to do so. We haven't missed a single delivery, and this is a testament to our talented, hard-working team and also a major contributor to the strong ongoing relationships we have with the industry top players. The team's exceptional reputation precedes us, and we look forward to continuing to create and deliver award-winning hits worldwide. With this, I'll turn it over to Barb to go over the numbers and then I'll return to provide a high-level corporate update. Thanks so much.
Barb Harwood: Thanks, Jen. Good morning, everyone. Now here are the results for the three and nine months ending March 31, 2022. Consolidated revenue decreased from $37.7 million to $36.9 million or 2% and increased from $85.4 million to $104.9 million or 23% for the three and nine months ended March 31, 2022, compared to the comparative periods in the prior year. A slight decrease in revenue in the current quarter is due to the timing of deliveries of our IP projects. The majority of which are expected to be caught up by year-end. The decrease was almost completely offset by the growth in production service projects. Production Services revenue increased by 66% to $31.2 million and 64% to $87.4 million over the comparative 3- and 6-month periods due to an increase in the number and size of contracts. This revenue consists primarily of animation production services, which experienced continued growth. The growing production services revenue reduces the volatility of results over quarters as compared to the IP recognition, the production service revenue is recognized as the work is completed rather than when the work is delivered and the term starts by the broadcaster. Licensing and distribution revenue, which represents our owned IP projects, decreased to $47 million and $17.5 million and $18.3 million and $32.2 million for the three and nine months ended March 31, 2022. In the current quarter, revenue was recognized from 13 episodes of the factual series Heavy Rescue: 401 Season 6 and 1 episode of a documentary Teenager and Lost Maya City. Distribution revenue was also recognized in the current quarter due to the sales to Symrise, a New York-based streaming service, for the scripted series Kim's Convenience Seasons 1 through 5. In comparison, in the comparative quarter, revenue was recognized from 3 episodes of an animated series Last Kids on Earth, 13 episodes of Kim's Convenience Season 5 and 40 episodes of 3 factual series, Heavy Rescue: 401 Season 5, Mud Mountain Haulers Season 1 and Safe by Reno Season 4. Adjusted EBITDA decreased by $1 million or 14% to $6.4 million and increased $0.4 million or 2% to $17.7 million for the three and nine months compared to $7.4 million and $17.3 million for the comparative period of March 31, 2021. Gross margin on revenue in the current quarter was consistent year-over-year, partially offset by an increase in salaries to facilitate our continued growth. And finally, free cash flow decreased by $7 million to negative $5.2 million in the current quarter, primarily due to an increase in investment in content as the Company ramps up production volume has increased by $7.2 million to $14.7 million for the nine months end of March due to the timing of the receipt and repayment of the interim production financing net of the ramp-up of production volumes compared to $1.8 million and $7.5 million for the comparative periods in the prior year. Back to you, Jen.
Jennifer Twiner McCarron: Thank you so much, Barb. I'll now provide the corporate update. At March 31, 22, the Company had 26 programs in various stages of production with 16 different clients. 12 of these productions are company IP are partner managed service production, where the Company receives a percentage of certain revenue streams on the back end. At the end of Q3, the Company was in various stages of production on 16 animated series. The of these productions are IP are partner managed. These programs reflect a blend of both proprietary and service-based work and include Molly of Denali Season 2 for GBH PDF Kids, CoComelon Lane for Moonbug Entertainment and Netflix, Trolls: TrollsTopia for DreamWorks and Peacock, Dogs in Space for Netflix, Marvel's Spidey and His Amazing Friends Season 1 for Disney Junior, and Young Love with Sony Pictures Animation for HBO Max, among others. New company animation productions that have been announced included Pinecone & Pony for DreamWorks and first-generation films for Apple+ TV, which is a new series based on the popular child book written by New York Times best-selling author, Kate Beaton and an adult some animation series titled Teenage Euthanasia for Adult Swim. This half-hour series is co-created by the New York Times Editor's Choice writer, Alissa Nutting and Emmy nominated producer, Alyson Levy. Shifting focus, the Company was in production on seven factual series and one documentary highway through Highway Thru Hell Season 11, Heavy Rescue: 401 Season 7, Mud Mountain Haulers Season 2, Deadman's Curse, that's the working title Season 1, Gut Job Season 1, Styled Season 1, Dr. Savannah: Wild Rose Vet Season 1, in conjunction with Wapanatahk Media, and After The Storm, a documentary in production for Discovery Canada based on the 2021 flooding in BC. And on our scripted side, the Company was working on two series: Reginald the Vampire Season 1 and Strays Season 2, which was renewed for a second seen as part of CBC's '22 and '23 comedy slate. Lastly, before closing off before ready for the Q&A, I want to highlight some recent recognitions the Company has received and one announcement. Kim's Convenience was awarded three Canadian screen awards, which was in evening. GTM was named in the BC business of good award in 2022 and for Diversity and Inclusion Champion and featured on RealStream Global 100 Canada listing, LEGO Star Wars Terrifying Tales was nominated in the Animation Children 5 to 10 category and The Last Kids on Earth was nominated in the Interactive: Children's under 10 category for The Banff World Media Festival’s Rockie Awards. We're also thrilled to share that Great Pacific Media has partnered with Sean Connolly, Original Content Labs to produce more unscripted prime time and kids series. This is an exciting development for us. And that brings us to the end of our corporate update for today. So proud of the results and the team's hard work this quarter, and we are expecting a very strong Q4 and a really solid end to our fiscal year '22. We continue to be busier than ever, and we're thrilled to continue creating high-quality, meaningful content that resonates with viewers around the world. We're so grateful for our hardware in teams, and we truly, truly wouldn't be here without them today. As we look to continue growing and expanding beyond North America, we're confident we have the infrastructure and leadership in place to become the next major global studio. Quality, diverse content remains king, and this is where we excel. We look forward to sharing even more exciting details on upcoming projects in the works at Thunderbird with you all soon. The future is bright. And on behalf of all of our teams, thank you so much for being part of this journey. Now, Barb and I are pleased to take any questions that you may have.
Operator:  We have the first question on our phone lines from Max Ingram of Canaccord. Please go ahead. Your line is open, Max.
Max Ingram: Congrats on the quarter. I just have three questions, if that's okay. First, I wanted to ask if we could get an update on any -- I know Jen touched on it briefly on the call, but an update on any M&A efforts and kind of where you stand with that in terms of if you're still interested in doing something and what types of opportunities you're looking at?
Jennifer Twiner McCarron: Great. Okay. I thought you were going to list all three questions, but I'll dive into the first one. Thank you so much, Max. We are making great headway in Europe with M&A opportunities. We're working with our buyers to understand their needs. And as places like Disney and Netflix have publicly announced, they need to go overseas places like Europe, Southeast Asia to increase subscriptions. By us having ownership in those areas, we can help fill a need that our buyers have we would have to deal with us as they look to expand their portfolio. We could turn on IP native to those regions. And then the final piece of the strategy is that we could also increase our capacity. So there's some amazing studios with great talent out there. And this would allow us to take on more work that we currently say no to, some of it because of the constraints of talent and production. So this will allow us to grow at a faster rate, turn on more international IP, have an international tutors, which is key to becoming a major global studio and fulfill a real need for our buyers.
Max Ingram: Perfect. Yes. That makes sense. Secondly was on the consumer products side, I was wondering to ask if you're able to provide any sort of color on that division, if there's any development there? And if there's any particular titles you see driving success in the future? Anything you can maybe add would be helpful.
Jennifer Twiner McCarron: Yes. Thank you. We definitely hope to have some good announcements before the end of the fiscal year, if not shortly thereafter. And we are making great headway. It's been a real game changer of trust to have our own consumer products and distribution division. It will allow us to turn on more IP with the right deals to get those set up in all of the territories sold and bring on to and video game partners as well. It allows us to as a third-party distributor for other companies that may not have that internal vertical. So, we're very pleased with the progress and look forward to actually being able to announce some of the progression that we've made in the not-too-distant future.
Max Ingram: Okay. Perfect. We're also looking forward to hearing you those announcements? And then lastly, I believe your longer-term intention is to shift the mix of revenues back towards distribution. It looks like over the past few quarters, it's hovering around 80% service. Are you able to give us a sense of when you might expect to see that shape in the other direction? And looking at your pipeline, would that be more immediate? Or is that sort of a more longer term development?
Jennifer Twiner McCarron: Yes. We're always doing a healthy mix of IP and service. And certainly, IP, you get paid upon delivery. Your service your cash flow throughout our service business has grown unbelievably so, just with the increased demand we're seeing that is not flowing down across all fronts. As we increase the longer-term value of the Company, we want and need to keep adding to our IP library. So over the next several years, we should see a shift as these shows get made and deliver. But a healthy mix of service and IT will always be key to our business, service move lumpy cash flows. It's a great opportunity when we do a good job servicing major global brands like Donald Duck or Spider-Man or 101 Dalmatians. It's that much easier for us to turn around and sell our own IP. But to answer your question directly, Mark, we'll start to see an increased shift towards IP over the next several years.
Operator: We now have the next question from Barry Sine with Spartan Capital Securities. Your line is open.
Barry Sine: I wanted to follow up. I really like the way in, you started out the call with kind of the comments on the macro streaming environment and how the streaming wars are changing a bit. And I think you're rightfully focused in on quality. And as you've said, as long as I can remember, that's quality of your North Star. How do the buyers recognize and no quality? And I asked this because we've seen streamers put some less than stellar quality product out there. So I don't think they would say that, that was intentional. How do you differentiate yourself? And how do they understand this project that Thunderbirds pitching is a better quality than another project from another producer?
Jennifer Twiner McCarron: Yes, it's a great question, Barry. Thank you. I think our track record speaks for itself. We've won multiple awards. We've been recognized as BC's most diverse and inclusive company. We won the Peabody First work there. So those well awards are sometimes a little self-congratulatory. They do help signal the quality at which we're producing. In addition, we really are -- have been called out as one of the more dependable studios. We successfully got everyone off-site in March of '22, without missing a beat, without missing any deliveries. And consumers get pitched a lot of ideas when we come to the table. There's a huge body of work for us that speaks to the quality that we do. Being a Canadian domiciled company, we bring tax credits to tables. So we're actually able to put more work on screen. And when streamers get pushed ideas, a lot of the times, looks like a good creator, how do they put it together. They have to go figure out all the pieces with us. It's okay, great idea, great company. We know exactly how they're going to execute on it. They have all this proof-of-concept before them a way you go. And we don't say yes to work. We know we can't execute on. And whether we're doing service for our buyers or IP, we treat it as if it's our own. And we always shoot for the moon because we do know it from the very beginning in the day and age where there's so much content available to people only the strongest to stand out.
Barry Sine: Okay. And then, I wanted to zero in on your scripted business. As a big fan of Kim's, I know what your quality there is. And I've always thought that you have to create potential to do a lot more in scripted. And I know during the pandemic, you just couldn't get people together for scripted productions. Now with the pandemic over, I know you've got production strays and regional the vampire in production. Is that a segment of the business that you see more opportunity? You have more capability? It certainly seems you've got the creative ability to succeed in that business. But I'd like -- I would think you could do more than two.
Jennifer Twiner McCarron: Definitely. And that's the plan. We've looked at it opportunistically and taken smart swings I would say, in that area, but we are looking to increase focus. Reginald the Vampire is a good one right now. It's our first show the Southwest facing scripted with Amazon and Zulu and Sci-Fi. And so, as our goals shape and continue on our path to becoming a major global studio, we want a strong footprint that's high quality, very diverse and inclusive in kids and family and animation in factual and in scripted, and those are very much in our plans.
Barry Sine: Okay. And you touched on your constraints on your ability to grow even faster than you're growing when you add to the M&A question, which would give you some more capabilities. What are you seeing as constraints now? Are you able to find sufficient talent? Or are you having to turn away potentially lucrative projects because you don't have the talent? What are the constraints now that we're seeing on growth or are there any?
Jennifer Twiner McCarron: Yes. The constraints on growth are really what the rest of the world is facing just unlimited talent pools. We invest heavily in every city we are in, in the schooling, we are able to recruit further foot geographically, but so are other companies. And so, I do expect things to settle over the coming months. And we -- because we've always kept a focus on a good culture and retention and recruitment, we're faring better than others. But these shows take talent and time and experience. And I'd say another thing, two years of being completely off site, a lot of what we're noticing, and I'm sure other companies are as well, that junior talent that would have moved to becoming more mid-level hasn't moved quite as quickly only because it's weird being a young person learning business, but a lot of that comes to osmosis being off site has been challenging. But we're gaining that traction back, continuing to invest in and develop our workforce, our number one asset. And that's a part of our M&A plans as well is to expand in other markets, gain access to other talent pools. So, I wouldn't say that we're turning away massive amounts of work, but with our growth plan, coming up in the next several years. We have to ensure that our talent is healthy and striving and that's part of our strategic outlook.
Barry Sine: Okay. And then my last question, maybe I'll turn direct this one at Barb and let Jen rest your voice. In terms of the typical seasonality of fourth quarter, I know you guys are optimistic. I know you're also not giving specific guidance in fourth quarter. Could you kind of give us a little mini tutorial and update on what Thunderbird typically looks like in a fourth quarter. Why is that? And I know there's a mix between services and distribution, give us an update on how we should think about fourth quarter as we look at modeling that out.
Barb Harwood: Yes, for sure. Barry, it's interesting, as I look over sort of the last five years, we're getting away from sort of more typical seasonality, like I used to be able to sort of predict that quarter like one and three would be the big quarters because there was a lot of broadcasters in our mix rather than streamers. And now as we're working with more streamers sort of the deliveries on the content side can be kind of all over the place. So it's not as predictable. It's predictable from my end. It's not as predictable to know, for instance, that say, last year, Q3 was a huge quarter for us. It was a really big quarter, 40 episodes of factual series, Kim's Convenience and our last three episodes of Last Kids. And of course, this quarter, there aren't as many deliveries. However, we're looking at Q4, and we're going to have more deliveries in Q4 as opposed to last year Q4. So we're going to be about the same about the same place that we were last year in terms of our IP content in Q4. So there's -- so in summary, there's a lot less sort of predictable seasonality in the IP deliveries as we deliver more to the streamers and they don't have a specific sort of season premiere season as traditional broadcasters. Does that help?
Barry Sine: Jen, get well soon.
Jennifer Twiner McCarron: Thank you, barry.
Operator:  We now have another question on the line from David McFadgen from Cormark. Please go ahead.
David McFadgen: A couple of questions. Maybe I can just go back to what was asked earlier on the call, the mix of licensing and distribution revenue versus service. I was wondering, if you could sort of give us an idea on where you think you'll end up for fiscal '22 in terms of the mix?
Jennifer Twiner McCarron: Barb, do you want to attempt that?
Barb Harwood: David, how are you doing? Yes, as I mentioned -- as I mentioned to Barry, we're going to be -- we're going to land Q4 around the same area in terms of IP as we did the previous year in the same sort of ballpark. And as you've seen over the number of quarters this year, our production services continues to grow. So as we're building our you'll see that production services be a pretty large amount of the revenue because, as you know, as soon as we sign a contract, as soon as we get to work, we start to record that those results in Production Services, whereas when we're building our sort of IP library, it's going to take some time for those results to fall.
David McFadgen: So does that mean if I look at your fiscal '21 revenue, the percentage that would be -- or the split that would be Production Services and licensing distribution would be somewhat similar in '22? Is that the way you should look at?
Barb Harwood: I think we've been tracking more, I think, because Production Services has been growing at such an exponential growth. I think we'll be probably tracking more heavily on the Production Services side by the end of fiscal '22. Just as we've seen over the first three quarters.
David McFadgen: Yes. Okay. And when you talk about a robust Q4, then obviously, that means that we're going to have growth year-over-year in Q4, right? Because in the past, as you indicated, Q4 has been your smallest quarter, but now with the change of delivery schedule with the streamers and step should we expect growth in Q4 '22 versus '21?
Barb Harwood: Yes, that's correct.
David McFadgen: Yes. Okay. And then maybe you could just provide a comment on, okay. And then maybe you could just provide a comment on Netflix with the subscribers down, there's discussion in the marketplace that they're going to be more targeted with the content that they license. And I was just wondering, if there's been any change with you and your Netflix relationship.
Jennifer Twiner McCarron: No, not at all, in fact, it's as I alluded to when I opened the call, it's a good news story for us. The story is now quality over quantity. All of the streamers, including Netflix have to constantly refresh their sites to close subscribers. But now people like Netflix are zeroing in on working with their best providers doing that high-quality content that is going to glue people, make people turn back in less volume, and that's what we're known for, and that's how all of our buyers, including Netflix, appreciated. So this is actually a good news story for us. It may not be for the other hundreds of animation companies or factual companies out there. Some will likely pay but not us. This will allow us to grow stronger. And then ultimately, more talent might pop available. So, this is a really good new story for us.
Operator:  As we have no further questions. If you do have any more, please call, +1604-683-3555 or e-mail investors@thunderbirdtv. Thank you. This does conclude our call.
A - Jennifer Twiner McCarron: Thank you.
Operator: You may now disconnect your lines, and have a lovely day.